Operator: Please stand by, your program is about to begin. Good morning, ladies and gentlemen. And welcome to the First Quarter 2025 Arbor Realty Trust Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator Instructions] I will now like to turn the call over to your speaker today, Paul Elenio, Chief Financial Officer. Please go ahead.
Paul Elenio: Hey. Thank you, David, and good morning, everyone. And welcome to the quarterly earnings call for Arbor Realty Trust. This morning, we’ll discuss the results for the quarter ended March 31, 2025. With me on the call today is Ivan Kaufman, our President and Chief Executive Officer. Before we begin, I need to inform you that statements made in this earnings call may be deemed forward-looking statements that are subject to risk and uncertainties, including information about possible or assumed future results of our business, financial condition, liquidity, results of operations, plans and objectives. These statements are based on our beliefs, assumptions and expectations of our future performance, taking into account the information currently available to us. Factors that could cause actual results to differ materially from Arbor’s expectations in these forward-looking statements are detailed in our SEC reports. Listeners are cautioned not to place undue reliance on these forward-looking statements, which speak only as of today. Arbor undertakes no obligation to publicly update or revise these forward-looking statements to reflect events or circumstances after today or the occurrences of unanticipated events. I’ll now turn the call over to Arbor’s President and CEO, Ivan Kaufman.
Ivan Kaufman: Thank you, Paul, and thanks to everyone for joining us on today’s call. As you can see from this morning’s press release, we had an active and productive quarter with many notable accomplishments, including substantial improvements to the right side of our balance sheet and significant progress in working through our delinquencies and REO assets, despite the challenging environment. We have been heavily focused on creating efficiencies in our financing facilities to continue to drive higher returns on our capital. In fact, in March, we announced a transformational deal in which we entered into a $1.1 billion repurchase facility to finance assets in two of our existing CLO vehicles with JPMorgan. This allowed us to redeem at par and full all investor capital in these vehicles, while creating tremendous efficiencies through significantly reduced pricing, enhanced leverage, and guaranteed and generated approximately $80 million of additional liquidity. Additionally, and very significantly, the facility is 88% non-recourse and provides us with a two-year replenishment period to substitute collateral when loans run-off. This is essentially like issuing a new CLO with significantly improved terms, and since every loan financed in this facility has been recently appraised, this transaction also very importantly reinforces the quality of our loan book. We’re extremely pleased with this innovative transaction and we believe demonstrates the quality of our brand and the depth of our banking relationships, and again, will drive higher earnings in the future. We also saw a very strong demand in our first quarter in the CLO securitization market. We’ve been a leader in this space for over 20 years and I’ve been extremely active in accessing this market. These vehicles are very attractive to us as they allow us to fund our loans with non-recourse, non-mark-to-market debt, which replenishment rights and generates outsized returns on our capital. While this market has cooled off a little in the last few weeks, there is a significant amount of liquidity in the space that we expect will drive a very robust CLO market going forward. We will continue to be an active player in this space, which again, is a big part of our strategy and will help drive increased future earnings through these low-cost, long-dated funding sources. On our last call, we discussed how the significant backup in long-term rates was creating substantial growth -- creating substantial headwinds for everybody in this space. We talked about how this environment was creating a very challenging origination climate as it relates to our Agency business and how it was also going to result in a curtailed ability for borrowers to transition to fixed rate loans and recap their deals. Since the announcement of the Trump tariffs and the trade wars that have ensued, we’ve seen a tremendous amount of uncertainty in rate volatility that has resulted in large swings in the five-year and 10-year indexes and what feels like a field of times is a constantly changing economic forecast. It will be very hard to predict where all is settled out for the balance of the year and where interest rates will go as a result. We expect at least in the short-term for there to be a tremendous amount of volatility and uncertainty. We will continue to monitor the market environment and determine the effect it will have on our business for the balance of 2025. We were very prudent with the guidance we gave on last quarter’s call for 2025, which is based on a similar market conditions to what we are experiencing. Very recently, we have seen a reduction in the five-year and 10-year interest rates, which if this trend continues, will be a positive catalyst for our business by driving increased agency volumes and allowing us to move more loans off of a balance sheet, which will increase our earnings run rate and position as well for 2026. We continue to do a very effective job, despite the elevated rates, of working through our loan portfolio by getting borrowers to recap their deals and purchase interest rate caps, as well as bringing new sponsors to take over assets, either contentiously or through foreclosure. These are very important strategies that have resulted in…
Paul Elenio: Ivan?
Ivan Kaufman: Yeah. I am sorry. That resulted in our ability to reposition as a performance of these assets is greatly affected by poor management and from being undercapitalized, which resulted in very low occupancy. I’m sorry, excuse me one second. These are very important strategies that resulted in a large portion of our loan book being successfully repositioned as performing assets with enhanced collateral values and experienced sponsors and have created a more predictable future income stream. We also continue to make progress on the $819 million of loans that will pass due as of December 31st in accordance with our previous guidance. In the first quarter, we successfully modified $38 million of these loans and $39 million of loans become fully performing again and took back approximately $197 million of REO assets, $31 million of which we are in the process of bringing in new sponsors to operate and assume our debt. As expected, we did experience additional delinquencies during the quarter of approximately $109 million, bringing our total delinquencies out of March 31st to approximately $654 million. And our plans for resolving our remaining delinquencies are to take back as REO, including bringing new sponsorship, approximately 30% of this pool, with the other roughly 65% either paying off or being modified in the future. This would put our REO assets on our balance sheet in a range of $400 million to $500 million, with another roughly $200 million that we will have brought in new sponsorship to operate. As we discussed on last quarter’s call, these REO assets will be heavy lifting position of our loan book and we estimate will take approximately 12 months to 24 months to reposition as a performance of these assets have been greatly affected by poor management and from being undercapitalized, which has resulted in very low occupancies and NOIs. As a result, these REO assets will temporarily create the greatest drag on our earnings, which is a significant component of our revised guidance for 2025. We do believe there is a great economic opportunity for us to step in and reposition these assets and significantly grow the occupancy and NOIs over the next 12 months to 24 months, which will increase our future earnings substantially. We’re working exceptionally hard at resolving our delinquencies, which have been significantly affected by the higher interest rate environment and again was factored into our 2024 guidance. As I have said before, if rates come down sooner than we expect, we will have a positive impact on our ability to convert non-interest earning assets into income producing investments, which will be accretive to our future earnings. Turning now to our first quarter performance as Paul will discuss in more detail our quarter results were in line with our previous guidance with us producing distributable earnings at $0.31 per share in the first quarter. Based on these results and the environment we are currently operating our Board has decided to reset the quarterly dividend to $0.30 a share which again is in line with our guidance. We anticipate that the next nine months will continue to be very challenging due to the significant drag on earnings from our REO assets and delinquencies and from the effect the higher interest rate environment is having on our originations business all of which will make 2025 a transitional year which is reflected in our revised dividend. As we successfully resolve these assets and if we continue to see rate relief we believe we will be well positioned to grow our earnings and dividends again in 2026. In our balance sheet lending platform we have an active first quarter originating $370 million of new bridge loans. Last quarter we got it to approximately $1.5 billion to $2 billion in bridge loan production for 2025, which we feel we are very on pace to accomplish. Whether we come in at the low end or the high end of the range is highly dependent upon market conditions and the interest rate environment which again has been extremely volatile and unpredictable lately. This is a very attractive business as it generates a strong leverage returns on our capital in the short-term while continuing to build up significant pipeline of future agency deals which is a critical part of our strategy. As we continue to take advantage of efficiencies in the securitization market with our commercial banks we can drive higher leverage returns and increase returns on our capital substantially. As we talked about on our last call we guided to $3.5 billion to $4 billion of agency volume in 2025 which is a much slower start with a much slower start in Q1 given the backup of rates that occurred last quarter. The first quarter did come in around what we expected of approximately $600 million of origination volume from the significant increase in the 10-year which has created a very challenging origination plan. Again there’s been a very significant amount of volatility in the rate environment lately with some dips in the five-year and 10-year rates that we were able to capitalize on growing our forward pipeline. In fact, our pipeline is approximately $2 billion today which is up significantly from approximately $1.2 billion in late February where we started our last call and this robust pipeline gives us confidence in our ability to deliver the range of guidance we gave in 2025 despite the slower first quarter. We continue to do an excellent job growing our single-family rental business. We had a solid first quarter with approximately $200 million in new business and our pipeline remains strong. This is a great business that offers us returns on our capital through construction, bridge and permanent lending opportunities and generates strong leverage returns in the short-term while providing significant long-term benefits by further diversifying our income streams. In fact, the business plan is working well as we are starting to see more of our construction loans transition to new bridge loans as well as being able to capture new bridge loan business off of other lenders SFR books because of how vertically integrated we are. In the first quarter we closed $131 million of new bridge loans on top of the $270 million of that we closed in 2024 and with the enhanced efficiencies we’re seeing in the financing side of the business we are generating mid-to-high returns on our capital which will contribute to increased future earnings especially as we continue to scale up this business. We also continue to make steady progress in our construction lending business. We believe this product is very appropriate for our platform as it also offers us returns on our capital through construction, bridge and permanent agency lending opportunities, and generates mid-to-high team returns on our capital. We closed 92 million of deals in the first quarter and another 58 million in April. We also have a growing pipeline with roughly $300 million under application and another $500 million of additional deals we are currently screening which gives us confidence that we will easily make and likely beat the guidance we gave of $250 million to $500 million of production in 2025. In summary, we have an active and productive first quarter with many notable accomplishments. We continue to execute our business plan very effectively and in line with objectives and guidance. Clearly, there’s been a tremendous amount of volatility in this space, especially as it relates to the outlook of short-term and long-term rates. If the rate environment improves, it will have a positive impact on our business and our outlook going forward. Additionally, we continue to see efficiencies in the securitization market and our bank mindset, we will continue to be a positive catalyst. As mentioned earlier, we view 2025 as a transitional year in which we will work extremely hard to successfully resolve our REO assets and delinquencies providing strong earnings foundations which we can build upon in 2026. I will now turn the call over to Paul to take you to our financial results. Paul?
Paul Elenio: Thank you, Ivan. In the first quarter, we produced distributable earnings of $57.3 million or $0.28 per share and $0.31 a share, excluding $7 million of one-time realized losses from the sale of two REO assets that we previously reserved for, $6 million of which we guided to on last quarter’s call. These results translated into ROEs of approximately 10% for the first quarter. As Ivan mentioned, we reflected the current environment in our 2025 distributable earnings guidance of $0.30 per quarter to $0.35 per quarter. Additionally, as I mentioned on last quarter’s call, we were expecting at least the first two quarters of this year to come in at the low end of that guidance due to the challenging climate we’re experiencing from elevated rates. Clearly, rates are playing a big factor in our earnings outlook, and future changes in the interest rate environment will most certainly dictate whether we stay at the low end of the range for the balance of the year or are able to grow our earnings quicker. In the first quarter, we modified another 21 loans, totaling $950 million. On approximately $850 million of these loans, we required borrowers to invest additional capital to recap their deals with us providing some temporary rate relief through a pay and accrual feature. The pay rates were modified on average to approximately 5.18%, with 2.56% of the residual interest due being deferred until maturity. $55 million of these loans were delinquent last quarter and are now current in accordance with their modified terms. In the first quarter, we accrued $15.3 million of interest related to all modifications with pay and accrual features, $2.3 million of which is on Mezz and PE loans behind Agency loans that have a pay and accrual feature as part of their normal structure. This leaves $13 million worth of accrued interest in the first quarter related to the modifications of bridge loans, $3.8 million of which is related to our first quarter modifications. Our total delinquencies are down 20%, to $654 million at March 31st, compared to $819 million at December 31st. These delinquencies are made up of two buckets, loans that are greater than 60 days past due and loans that are less than 60 days past due that we’re not recording interest income on unless we believe the cash will be received. The 60-plus day delinquent loans or NPLs were approximately $511 million this quarter, compared to $652 million last quarter due to approximately $197 million of loans that we took back as REO and $38 million of modifications during the quarter, which was partially offset by $82 million of loans progressing from less than 60 days delinquent to greater than 60 days past due and $13 million of additional defaults during the quarter. The second bucket, consisting of loans that are less than 60 days past due, came down to $143 million this quarter from $167 million last quarter due to $38 million of modifications and $82 million of loans progressing to greater than 60 days past due, which was partially offset by approximately $96 million of new delinquencies during the quarter. And while we were making very good progress in resolving these delinquencies, at the same time we do anticipate that we will continue to experience some new delinquencies, especially if this current rate environment persists. In accordance with our plan of resolving certain delinquent loans, we have continued to take back assets as REO and we expect to take back more over the next few quarters, as Ivan mentioned earlier. The process of foreclosing on and working to improve these assets and create more of a current income stream takes time, which again will temporarily impact our earnings. In the first quarter, we took back $197 million of REO assets. We’ve been highly successful at bringing in new sponsors on certain assets to take over the real estate and assume our debt. This strategy is a very effective tool at turning dead capital in a non-performing loan into an interest-earning asset, which will increase our future earnings. As Ivan mentioned, we’re in the process of bringing in new sponsors on two of the REO assets we took back in the first quarter, which we hope to close by the end of the third quarter. We have no loan loss reserves against these assets, as we expect to sell these assets at or above our current debt levels. As a result of this environment, we record an additional $16 million in specific reserves in our balance sheet loan book in the first quarter. And again, we believe we’ve done a good job of putting the appropriate level of reserves on our assets, which is evident by the transactions we’ve been able to effectuate to-date at or around our carrying values net of reserves. In our Agency business, we had a slow first quarter as expected due to the significant headwinds from higher rates. We produced $606 million in originations and $731 million in loan sales with very strong margins of 1.75% for the first quarter, which was equal to our margins from last quarter. We also recorded $8.1 million of mortgage servicing rights income related to $645 million of committed loans in the first quarter, representing an average MSR rate of around 1.26%, which is up from 1% last quarter due to a higher mix of Fannie Mae loans in the first quarter, which contain higher servicing fees. Our fee-based servicing portfolio is at approximately $33.5 billion at March 31st, with a weighted average servicing fee of 37.5 basis points and an estimated remaining life of around seven years. This portfolio will continue to generate a predictable annuity of income going forward of around $126 million gross annually. In our balance sheet lending operation, our investment portfolio grew to $11.5 billion at March 31st from originations outpacing run-off in the first quarter. Our all-in yield on this portfolio was 7.85% at March 31st, compared to 7.80% at December 31st, mainly due to taking back non-performing assets as REO, which are separately stated on our balance sheet, partially offset by some new delinquencies in the first quarter. The average balance in our core investments was $11.4 billion this quarter, compared to $11.5 billion last quarter. The average yield in these assets decreased to 8.15% from 8.52% last quarter, mainly due to a reduction in the average SOFR rate and less back interest collected this quarter on loan modifications and delinquencies versus last quarter. Total debt on our core assets was approximately $9.5 billion at March 31st and December 31st. The all-in cost of debt was down to approximately 6.82% at 3/31 versus 6.88% at 12/31, mainly due to a 40 basis point reduction in rate on the new J.P. Morgan facility as compared to the rates we were paying on the CLOs at the time they were redeemed. The average balance in our debt facilities was down to approximately $9.4 billion for the first quarter compared to $9.7 billion in the fourth quarter, mainly due to paydowns in our CLO vehicles from run-off in the fourth and first quarters. The average cost of funds in our debt facilities was 6.89% in the first quarter, compared to 7.08% for the fourth quarter, excluding interest expense from levering our REO assets, the debt balance of which is separately stated on our balance sheet and therefore not included in our total debt on core assets. This reduction in the average cost of funds was from a decline in SOFR, which was partial offset by the lower rate tranche -- lower debt tranches being paid down from CLO run-off in the first quarter. Our overall net interest spreads in our core assets was down to 1.26% this quarter from 1.44% last quarter, largely due to more back interest being collected last quarter on delinquent loans, combined with a decline in SOFR. And our overall spot net interest spread was up to 1.03% at March 31st, compared to 0.92% at December 31st from the removal of some loans that went REO and from better pricing on the new J.P. Morgan line that we closed in March. And lastly, and very significantly, we’ve managed to delever our business 30% during this very lengthy dislocation to a leverage ratio of 2.8 to 1 from a peak of around 4.0 to 1 over two years ago. That completes our prepared remarks for this morning and I’ll now turn it back to the Operator to take any questions you may have at this time. David?
Operator: Thank you. [Operator Instructions] We’ll take our first question from Steve Delaney with Citizens JMP Securities. Please go ahead. Your line is open.
Steve Delaney: Thank you. Good morning, Ivan and Paul. Good to be on with you today. It sounds like, I mean, gosh, you covered a lot there in three or four different business lines, but the thing that caught my ear, it sounds like the CLO market is very attractive right now in terms of both structure and pricing, and a lot of folks have pulled back from bridge loans because of the credit problems that occurred on the earlier vintages. I’m just wondering when you look at the bridge portfolio, $11.5 billion, do you expect net growth there in 2025, and do you have a target level for where that portfolio might grow by the end of this year? Thank you.
Ivan Kaufman: Let me give a little bit of an overview of our business and what our outlook is, and I think, it’s a combination of three factors. Number one, how much new bridge business we expect, and in my comments, it’ll be about $1.5 billion to $2 billion. Run-off, I think we did run-off of $400 million in the first quarter, $200 million in April. We expect run-off to be anywhere between $1.5 billion to $3 billion, depending on where interest rates are. And then we’re going to fund up our construction business, and we’re going to fund up our SFR business. So you’re going to see a good net growth number, and then you’re going to see the composition of our balance sheet, hopefully by the end of the year, or maybe the first quarter, where the majority of what’s on our book will be new production as opposed to legacy. And that’s transformational when the legacy book gets shrunk to a minority of our book and that’s our goal. That’s where we’re going. A lot of this will be fueled by a very robust securitization market. There’s been some pullback, as I mentioned in my comments, with what happened with the tariffs. What was a -- one of the most aggressive securitization markets, it’s been pulled back, but pay very close attention. There are a couple of deals in the market now. We think they’re going to be extraordinarily well received. The net inflows and outflows of the securitization market is very clear that there’s a lot of liquidity, a lot of demand, and we expect as a firm to be able to really benefit off, A, the leverage from that business, as well as the cost of funds in that business and we think it’ll be very accretive to earnings. That’s why a lot of what we spoke about was 2025 being a transition year and setting us up very strongly for 2026.
Steve Delaney: Just a quick follow-up. When you look at the loans that you’re making today on the bridge loan side of the business, and clearly, you just said that you expect some growth and you really found that attractive. Why did so many people, just in a very simple term, what was the number one or number two, the primary weaknesses on why that 2022-2023 vintages have performed so poorly? And you’re obviously planning to correct that with your 2025 loans?
Ivan Kaufman: So, I think that’s a great question. I think we all have to understand that on the multifamily side of the business, you had to run from 2010 all the way up until now with very few corrections, and every market has a lot of corrections. I think we’re going back two years or three years from now. Two years or three years, everybody would say, as they do in every up market, that things can only get better, right? Rates will never go up.
Steve Delaney: Yeah.
Ivan Kaufman: And rates will only go and rents will always rise. I think the biggest mistakes were always made at the top of the market. Those are the facts. We see it in every curve, and everybody says, hey, if I only knew what I know now, I wouldn’t have been where I was. It doesn’t always work that way. We as a firm pull back a little quicker than everybody else. Now, the one thing that we’ve done a great job with is certainly, as you know, the structure on our loans and the recourse on our loans has been very effective in mitigating some of the deterioration and real estate fundamentals. And there has been a deterioration of fundamentals, but they’re starting to strengthen up again. I think after COVID, which nobody could have ever expected, you had a lot of delinquencies, a lot of rent issues, a tremendous number of economic vacancy issues due to people not being able to move out, the slow court system. You saw other factors which weren’t anticipated, an increase in insurance rates, an increase in tax rates. The insurance was a big factor. What nobody also anticipated was a number of new entrants into the business and the fact that they didn’t have a level of experience in management. When the trend’s only positive, you kind of lose sight of some of the negative factors. So, every cycle you get better. We’ve been through a lot of cycles. But I do want to comment on one thing. In our career, this being the fifth cycle we’ve been through, this is the longest peak to trough. Most of the time, the cycles go for 18 months, 20 months, 16 months, and you recover. This has been over 36 months and still going. There have been bits of recovery, bits of setback. So, this is a lot longer of a cycle than most people are accustomed to, but we’re starting to see some elements of recovery. We’re starting to see better occupancies and better growth and things of that nature, but there’s a lot to learn from every cycle. Every firm gets better. So, that’s my commentary on what happened then and hopefully how we’re better positioned now.
Steve Delaney: Thank you very much. I appreciate it.
Paul Elenio: Thanks, Steve.
Operator: We’ll take our next question from Jade Rahmani with KBW. Please go ahead. Your line is open.
Jade Rahmani: Thank you very much. I wanted to start with a liquidity update. What are you expecting cash and liquidity to do just looking ahead at earnings, the reset dividend, your expectations regarding NPLs and REO?
Paul Elenio: Sure. Hey, Jade, it’s Paul. So, we’re sitting right now, as you can see, with $325 million of cash and liquidity. I think one of the things that was in my commentary that’s very important to note is that, during this lengthy dislocation, we made a strategic decision to delever the business due to the uncertainty. We delevered business 30% in the peak of the market prior to the dislocation occurring. We were 4.0 to 1 levered and humming along. We’re now 2.8 levered and we’ve been at that level for a few quarters now. With Ivan’s commentary of what we’re seeing in the securitization market and with the banks being so engaged and so constructive lately, evident by the J.P. Morgan line we just put in place, which was obviously an extremely good deal for us, we’re seeing the opportunity now where leverage -- we can enhance our leverage and grow our liquidity. So, we expect to be able to, over the next six months to nine months, 12 months, to totally, fully take advantage of, one, the securitization market, and two, the constructiveness of the banks and the liquidity that’s out there in the banking system to increase our leverage and grow our liquidity. Secondly, as Ivan mentioned, a run-off is a big part of where our liquidity will go and we toggle it based on our origination objectives and what our run-off does. We did have $400 million of run-off in Q1. It was a little light given where interest rates were for the last three months or four months. Interest rates have backed off a little bit recently, as we said, and we did get about $200 million of run-off in April. So, it could -- run-off could go anywhere from $1.5 billion to $3 billion, depending on where interest rates go, and that’s also a source of liquidity. And then the last piece that I wanted to mention is the debt markets are very, very open and active. As you know, we’ve been a serial issuer of debt through the unsecured debt market, through the preferreds and all those types of instruments, through the converts. Term Loan B, high yield debt, convert market, it’s all pretty open right now. So, we will continue to do what we do, be good stewards of capital and if we see good growth opportunities, and we think there’s good origination opportunities, and the run-off is slowing, we will continue to access those markets as well. So, that’s kind of the three pegs of the stool that drive our liquidity and why we feel comfortable we’ll have adequate liquidity.
Jade Rahmani: Thanks. You didn’t mention NPLs and REO. Could you talk about where you expect each to go? And also, proceeds, do you expect proceeds from either category?
Ivan Kaufman: Let me comment on the REO because I commented on my comments. We expect the REO to go up to between $400 million and $500 million, and we’re going to be extraordinarily aggressive where there’s bad management and where there’s asset deterioration to pursue that REO, reposition them. A lot of them are heavy lift. We started a process, and to the extent that we can reposition those assets, they are tying up liquidity, and we will look to liquidate them once we get to a certain level and generate liquidity there. Paul, you can give a little overview on the NPLs and how that’s moving along.
Paul Elenio: Sure. So, as we said in the commentary, we’re sitting with $511 million of NPLs, about $140 million of less than 60 days, and they go through a natural progression, Jade. And as we laid out, as Ivan laid out in his commentary, we think about 35% of that pool, that $654 million, will take back as REO. We’re sitting with $300 million of REO right now on our balance sheet, but $37 million of that, as we mentioned, is going to get sold in the next couple of quarters. And then there’s some legacy stuff on there that’s been on before the crisis. So, we’re sitting at about, call it $210 million, $220 million of REO after we sell those two from this cycle, and we’re expecting to take back about 35% of that $654 million. So, that’ll grow it to the $400 million to $500 million, as Ivan mentioned. And we know that the NOIs and the occupancy are low, and we’re going to work through those assets, put a little money into them, rehab them, get them to a level where they’re now contributing to our earnings, and then we’ll make a decision whether we want to liquidate them or keep owning and operating them at what level. That’s the kind of way we’re looking at it. But as we mentioned, it’s a big drag on our 2025 earnings, and that’s why we believe it’s a transitional year. And that’s why we gave the guidance we gave last quarter.
Jade Rahmani: Thanks. If I could ask one more, it’s about the overall economic sensitivity of the portfolio. You mentioned the 36-month cycle, but that’s really an interest rate cycle. We haven’t even gone through an economic cycle in terms of unemployment spiking or a recession. So, could you touch on your views there?
Ivan Kaufman: We’re actually seeing the occupancy firm up in a lot of our assets and we’re seeing better performance. And I think in many of the markets, we’ve hit bottom that we’re seeing. A lot of it was a product of what was, I would say, COVID and post-COVID and the difficulty of getting tenants out, and that has firmed up. So, in many ways, we feel we’ve really bottomed out in a lot of these markets. With respect to our REOs, which we experienced, it was really poor management. And what we’ve seen now with bringing in the right management, we’ve been able to really take underperforming assets and bring them up to market. A lot of what we have is workforce housing, and we’re seeing good data on that in general. So, I think we’ve seen, from an economic side of the coin, the worst side of it and we’ve been to a very tough side of it.
Jade Rahmani: Thank you very much.
Paul Elenio: Thanks, Jade.
Operator: [Operator Instructions] We’ll take our next question from Rick Shane with J.P. Morgan. Please go ahead. Your line is open.
Rick Shane: Hey, guys. Thanks for taking my questions this morning. Look, the interaction feedback we’re getting is a lot of focus on liquidity, dividend sustainability and non-cash income. Cash is down 65% year-over-year, 38% quarter-over-quarter, and I’m not including the restricted cash because of the paydown of the CLO. Repayments were at their lowest level back to the pandemic at $421 million, I think. Originations in the quarter were $747 million, so you consumed about $300 million on originations. I’m curious how much of those originations really were on new projects as opposed to reinvesting in existing?
Paul Elenio: Sure. So, I can give you some of those numbers, Rick. So, the $747 million that we did in originations, $367 million were brand-new bridge loans, not on existing projects, brand-new bridge loans in the market we’re in today. $131 million were bridge loans that came off our SFR business with that business working nicely. So, construction got to lease up and then those loans turned into bridge loans. And then, in addition to that, we had about $223 million of fundings on our unfunded SFR business. As you know, we have commitments outstanding and then we fund that business over time. And then about $19 million was funding on construction loans in our newly-created construction business and $4.5 million was Mezz. So, pretty much all of that product that I mentioned is new product to us. It’s not on existing.
Rick Shane: Great. I really appreciate the clarity there, Paul. Second question is, you guys reported $57 million of distributable earnings. How much of the reported income was or interest was non-cash?
Paul Elenio: Yeah. So, that’s what I put in my commentary. We booked $15.3 million of PIK during the quarter, which is down from last quarter, because we make adjustments as we go. Some loans pay. And on the amount of loans that we’ve modified that we have put a paid accrual feature on, we’re accruing about 78% of those loans and about 22% we’ve put on non-accrual. But it was $15.3 million for the quarter. And as I put in my commentary, a certain amount of that is Mezz and PE, which is part of the normal structure and the rest is on our bridge loans.
Rick Shane: Got it. And as we look through the year and look to your guidance, both in terms of dividend outlook and expectations of an increase in PE in the back half of the year, is that $15 million run rate a good way to -- is that a good level of expectations?
Paul Elenio: I think it is. It’s a hard question because things change, right? So, this quarter, if you look at our 10-Q, you’ll see we reversed some prior call interest on some loans that we modded that defaulted. And then we had some new ones. So, it’s a constantly moving number and we sit down every quarter and we go through with asset management and we look through and say, which ones do we think are going to pay? Which ones we think are going to struggle? Once we think of struggle, we’re going to be conservative. But I think that’s a pretty good run rate right now. We may have some more mods in the second quarter, I’m not sure. And you’ll have the first quarter mods full effect, but we’ll see run-off. We’re working on a couple of big deals now that if they get over the line, given where interest rates are, we could see a chunk of that get paid. So, it’s all a moving number. So, I would just say that $15 million is probably a good estimate going forward.
Rick Shane: Terrific. Thank you and thank you as always for taking my question.
Paul Elenio: Sure. Thanks, sir.
Operator: And we’ll take our next question from Leon Cooperman with Omega Family Office. Please go ahead. Your line is open.
Leon Cooperman: Thank you. So far, everything I’ve heard is in line with what you previously have indicated. I had a discussion in the past and it is, why do you think interest rates are too high. I mean, just the way I look at the macroeconomy, stock markets right now are high. The speculation in the market is very rampant. I see no indication that interest rates are too high. Why do you feel that interest rates are going to go down?
Ivan Kaufman: It’s not that I feel whether they go down or up. It’s how we think the business will be managed in a different rate environment. I mean, clearly when rates moved up, as they did three months or four months -- three months ago in our last quarter, we were very bearish and we gave a certain outlook and revised our earnings forecast going forward and our dividend going forward. Rates have improved a little bit and improvement in rate has a dramatic impact on our business. As I mentioned in my comments, our pipeline grew from $1.2 billion to $2 billion in a very short period of time with that rate down. So I don’t -- while I may feel rates may go down, I could just tell you how the different rate environment affects our business. And we’re at a point in time with this rate environment where it is today. We feel good about it. If rates move down even lower, we feel better. If rates move back up, we feel worse. So rates have moved from down about 50 basis points. It’s had a dramatic impact on us already. If it moves lower, it’ll have even a better impact. So I comment more in terms of how our business will function in a different rate environment.
Leon Cooperman: Got you. Now, second question for Paul. I got to this call very late. I apologize because I was on another call. What was the book value at the end of the quarter?
Paul Elenio: Sure. The book value was 11.98% [ph] at the end of the quarter, Leon.
Leon Cooperman: Okay. 11.98%. In the past, you had an authorization to buy back stock. Is the current environment such that you would rather keep your liquidity and not buy stock back below book value?
Ivan Kaufman: I think…
Leon Cooperman: The short question is...
Ivan Kaufman: Yeah. Leon, clearly, our liquidity is a very important item to us. We’ll manage our liquidity. We’ll manage our opportunities. And we’ll keep an eye on everything. If we see the stock go down and we have an opportunity to gain liquidity in other areas, it’s a good return on investment for how we raise our capital and something we would evaluate.
Leon Cooperman: Got you. All right. So you’re not committed to do buyback, but you’re going to basically look at the various alternatives and the market environment.
Ivan Kaufman: Correct.
Leon Cooperman: All right. Very good. Thank you.
Paul Elenio: Thanks, Leon.
Operator: And there are no further questions on the line at this time. I’ll turn the call back to Ivan Kaufman for any closing remarks.
Ivan Kaufman: Okay. Thank you all for your participation today and your support. Look forward to next quarterly call. Everybody have a great day and a great weekend.
Operator: This does conclude today’s program. Thank you for your participation and you may now disconnect.